Operator: Good morning. My name is Tanya and I will your conference operator today. At this time, I would like to welcome everyone to the UHS Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Mr. Steve Filton. Mr. Filton, you may begin your conference.
Steve G. Filton - Universal Health Services, Inc.: Thank you. Good morning. Alan Miller, our CEO, is also joining us this morning. Welcome to this review of Universal Health Services results for the second quarter ended June 30, 2017. During this conference call, Alan and I will be using words such as believes, expects, anticipates, estimates and similar words that represent forecast, projections and forward-looking statements. For anyone not familiar with the risks and uncertainties inherent in these forward-looking statements, I recommend a careful reading of the section on Risk Factors, and Forward-Looking Statements and Risk Factors in our Form 10-K for the year ended December 31, 2016, and our Form 10-Q for the quarter ended March 31, 2017. We would like to highlight just a couple of developments and business trends before opening the call up to questions. As discussed in our press release last night, the company recorded net income attributable to UHS per diluted share of $1.91 for the quarter after adjusting for the favorable impact from our January 1, 2017 adoption of ASU 2016-09 as discussed in our press release, and the depreciation and amortization expense recorded in connection with the implementation of electronic health records applications at our acute care hospitals, as disclosed on the Supplemental Schedule included with last night's earnings release. Adjusted net income attributable to UHS was $188.1 million, or $1.94 per diluted share, during the second quarter of 2017, as compared to $191.1 million, or $1.94 per diluted share, during the second quarter of last year. On a same-facility basis in our acute care division, revenues during the second quarter of 2017 increased 5.1% over last year's comparable quarter. The increase resulted primarily from a 6.0% increase in adjusted admissions to our hospitals owned for more than a year. On a same-facility basis, net revenues in our behavioral health division increased 2.2% during the second quarter of 2017, as compared to the second quarter of 2016. During this year's second quarter, as compared to last year's, adjusted admissions to our behavioral health facilities owned for more than a year decreased 3.7% and – excuse me, increased 3.7% and adjusted patient days increased 1.4%. Revenue per adjusted admission decreased 1.4%, and revenue per adjusted day increased 0.9% during the second quarter of 2017, over the comparable prior-year quarter. Based upon the operating trends and financial results experienced during the first six months of 2017, we are revising our estimated range of adjusted net income attributable to UHS for the year ended December 31, 2017, to $7.50 to $8 per diluted share, from the previously provided range of $7.70 to $8.20 per diluted share. This revised guidance, which excludes the expected electronic health records impact for the year, as well as the impact of the adoption of ASU 2016-09, decreases both the lower and upper end of the previously provided range by approximately 2.5%. For the six months ended June 30, 2017, our cash provided by operating activities decreased to $534 million from $836 million generated during the comparable six-month period of 2016. The $302 million decrease was caused primarily by a $217 million unfavorable change in other working capital accounts, resulting primarily from changes in accrued compensation and accounts payable due to timing of disbursements, and a $92 million unfavorable change in cash flows from foreign currency forward exchange contracts related to our investments in the UK. Our accounts receivable days outstanding increased slightly to 51 days during the second quarter of 2017, as compared to 50 days during the second quarter of 2016. At June 30, 2017, our ratio of debt to total capitalization declined to 46.1% as compared to 47.7% at December 31, 2016. We spent $118 million on capital expenditures during the second quarter of 2017, and $262 million during the first six months of 2017. In conjunction with our $800 million stock repurchase program during the second quarter of 2017, we repurchased approximately 984,000 shares of our stock at an aggregate cost of $116 million, or approximately $118 per share. Since inception of the program through June 30, 2017, we have repurchased approximately 5.5 million shares at an aggregate cost of $641 million, or approximately $117 per share. Alan and I would be pleased to answer your questions at this time.
Operator: Your first question comes from the line of A.J. Rice with UBS.
A.J. Rice - UBS Securities LLC: Hi, everybody. A couple of quick questions, if I could ask maybe. Just looking at the technical financials, on the non-same-store psych business, it looks like, I guess, that's mainly Cambian. It looks like you might have had pressure on that result. Was there anything else in there that you'd highlight, and how is Cambian doing right out of the box here?
Steve G. Filton - Universal Health Services, Inc.: A.J., I think, as we'd discussed in the first quarter, and I would reiterate in the second quarter, that Cambian operations are performing pretty much as we expected. When we acquired Cambian late in 2016, we talked about an ongoing run rate of about $45 million of EBITDA, and I think we're on track with that, with the exception that in the first six months of ownership, we had a sort of transition services agreement with the previous owner where we were paying for some of their administrative services. And that depresses the EBITDA a little bit; I mean, not a great deal. But I think from an operating perspective, the facilities have been performing as we expected and the expectation is that they'll continue to do so. Now, we do have a negative currency adjustment and have had that just in terms of – that affects, frankly, more of our existing operations than the Cambian operations. I think what you are looking at in terms of the non-same-store behavioral results is about $13 million or $14 million of unfavorable adjustments in the quarter relating to a couple of items: a non-recurring one-time adjustment to disproportionate share monies in one particular state and some malpractice expense adjustments. Those are offset, to some degree, by $5 million or $6 million of favorable adjustments in the acute division. The net of $7 million or $8 million of unfavorable adjustments is something we didn't disclose on a consolidated basis because we didn't view it as material.
A.J. Rice - UBS Securities LLC: Okay. All right. Thanks. Then I guess, stepping back, if I look at the results, it looks like maybe a little bit of puts and takes in acute, but I would characterize that as largely in line with expectations, maybe a little bit ahead, and that to the extent there was any variance, it was mainly on the behavioral side. I'd love to hear you confirm that. And then drilling down, it seems like the behavioral variance is largely in length of stay, which I know we've talked about; a couple of payers in the Medicaid side that you've been trying to negotiate with, that have put pressure on length of stay. Have you been able to drill down and give more flavor as to what you're actually seeing with that length of stay and whether it can be corrected quickly, I guess?
Steve G. Filton - Universal Health Services, Inc.: So, I will confirm your characterization, A.J., of the acute results for the second quarter as being in line. I think they were very much consistent with our expectations. In particular, we're pleased with the strength, particularly the volume strength on the acute side, but, again, the overall result is, I think, very much in line. On the behavioral side, again, I think your characterization is fair. The 2.2% revenue growth, even when you adjust that for the negative currency swing between years, I think that number becomes something like closer to 2.75% same-store revenue growth on the behavioral side, and that's still a little bit lower than where we expect it to be at this time of the year. We probably expect it to be closer to something like 3.5% and I think you've identified the variance as the length of stay, I mean, that admission growth number which I think now has grown for four consecutive quarters, is really well within, and, frankly, probably a little bit ahead of our expectations and I think is reflective of what we have been saying all along, that the underlying demand for our behavioral services across the portfolio remains strong, but the length of stay decline that we've experienced in Q1 and Q2 is not something we anticipated when we gave our original guidance. I think most of the commentary that I would make on that length of stay contraction is similar to what I said in Q1, and that is that I think it's a result of really two dynamics; one is that we are seeing more Medicaid patients who tend to have a lower length of stay than the rest of our payers. We believe that probably the impetus for that increase in Medicaid utilization is the benefit of the IMD exclusion being lifted, and – but I think one of the things that's happening in the short run is, there is some adverse payer mix selection, and that increase in Medicaid patients is crowding out some of the Medicare and commercial patients who, in many cases, are probably better-paying patients, and also those with higher length of stay. The other issue, I think, that we talked about, and I think you were sort of alluding to in your question is that within the Medicaid payer mix in that patient population, we're seeing some more aggressive behavior on the part of payers. I think our point of view is that over the course of the next few quarters, we will either, where it's clinically appropriate, be able to impact that length of stay and restore it to where it was, or I guess I should say, and/or the admission growth will continue and will offset that impact of the length of stay decline. And so in our minds, we will get to where we targeted, from the sort of 3.5% same-store revenue growth that we thought, and we're probably 75 basis points behind there, I think we feel like we will get to that 5% revenue growth that we thought we'd exit the year at. We'll get there, but it will probably be a quarter or two behind schedule.
A.J. Rice - UBS Securities LLC: Okay. Thanks a lot.
Operator: Your next question comes from the line of Jason Gurda with KeyBanc.
Jason W. Gurda - KeyBanc Capital Markets, Inc.: Hey, Good morning. Thank you. Steve, can you provide an update on how the UK volumes on the behavioral side look compared to the U.S. volumes?
Steve G. Filton - Universal Health Services, Inc.: Yeah. I mean I think, Jason, I don't have the exact data in front of me, but I think the UK volumes are growing. I mean, honestly, we are more capacity-limited in the UK than we are here in the U.S.; we run at occupancy rates in the UK that are probably in the low 90s as opposed to the high 70s that we operate here in the U.S., but I think, we're growing admissions in the UK by that similar, sort of, 3% to 4% number that we're reflecting on the U.S. side as well.
Jason W. Gurda - KeyBanc Capital Markets, Inc.: Okay. Thank you. And on the acute care side, the soft revenue per adjusted admission growth, is that from the mix shift that we saw in the first quarter?
Steve G. Filton - Universal Health Services, Inc.: Yeah, I think that's really a mechanical issue that because we are reimbursed almost exclusively on the behavioral side on a per-day or per diem basis, the effect of a decline in length of stay is that revenue per admission declines, and that's what you're seeing. I think the way that we do our model is, we do it based on revenue per day rather than revenue per admission, and the revenue per day growth of roughly 1% in the quarter is very consistent with what our expectations were.
Jason W. Gurda - KeyBanc Capital Markets, Inc.: Actually, I was referring to the acute care side...
Steve G. Filton - Universal Health Services, Inc.: I'm sorry.
Jason W. Gurda - KeyBanc Capital Markets, Inc.: ...where I think you had lower growth in surgery volumes compared to medical volumes.
Steve G. Filton - Universal Health Services, Inc.: Yeah. No, I think on the acute side, that's exactly right. I mean, I think to some degree, Jason, the growth in our admissions on the acute side, the outsized growth which, I think, has been, and my expectation, will continue to be generally better than our peers' is a function, to some degree, of seeing more of those lower acuity admissions. I think some of those lower acuity admissions over the last few years had been converted to observation patients, and one of the things that I think we said over the course of the last few years is that at some point, the pendulum would begin to swing back, at least partially, the other way, and more of those observation patients would qualify for in-patient admission where they've met clinical criteria, et cetera, and I think you're seeing that happening. So, we're seeing a bit more of those lower acuity admissions, but obviously to a degree that's also driving the revenue per admission down. I think also as our peers have noted as well, we continue to see and have seen, I think, for the last couple of years, an incremental increase in uncompensated patients, a slight decline in commercial patients, particularly commercial exchange patients, and I think those trends continue, although I don't think they were particularly – there was anything particularly dramatic or new in the quarter.
Jason W. Gurda - KeyBanc Capital Markets, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Kevin Fischbeck with Bank of America Merrill Lynch.
Joanna Gajuk - Bank of America Merrill Lynch: Good morning. This is actually Joanna Gajuk filling in for Kevin. Thanks for taking the question here. So, just to follow up on the last point; in terms of the payer mix that you mentioned that you feel like you continue to see slight declines in commercial patients and increase in uncompensated or uninsured patients, so, should we expect these trends to continue, and so, I guess, if that's the case, should we expect the sort of flat pricing to continue for the rest of the year for the Acute Care business?
Steve G. Filton - Universal Health Services, Inc.: Joanna, I would answer the question by saying that the 5% revenue growth – same-store revenue growth that we experienced in the quarter was similar to our expectations; and we said at the beginning of the year that our expectations for acute care revenue growth were in the 5% to 6% range for the year, with the understanding that those numbers would get better as the year progressed because the comparisons get easier. I think when we gave that original guidance, our presumption was that revenue growth would be split pretty evenly between volume and price; and, I think we would sort of stick to the overall revenue assumption, and I think we'll likely trend that way. But if we continue to generate higher admissions, I think that revenue per admission will be lower. But I think we continue, as I think A.J.'s initial question indicated, our acute overall results are very much in line and our acute guidance remains very much in line with what it was originally, and that is something like 5% or 6% revenue growth. How we get there between admissions and volume may change, but I think we're comfortable with the overall revenue guidance.
Joanna Gajuk - Bank of America Merrill Lynch: Okay. That makes sense. But then staying on the acute, right, so you're talking about the 5% to 6% revenue growth, and I guess, the margin did not really improve that much as you would expect; and, I assume there is partial impact in there from the health fund business. So correct me if I'm wrong there. And then, is there anything else you would highlight? I guess the fact that you're talking about a lower acuity and increases in payer mix, but I guess that's reflected in the – not much of a margin improvement in that segment.
Steve G. Filton - Universal Health Services, Inc.: Yeah, I think that, as we've talked about probably over the course of the last few quarters, probably the single biggest impairment or, I guess, obstacle, I guess, is a better word, to growing those acute care margins has been the wage pressure and the labor pressure. I think on the acute side, we continue to run higher than what we would consider to be ideal levels of premium pay that is over-time and use of temporary nurses, in particular. I think our general sense over, again, the course of the year in our guidance was that those pressures would become more muted in the back-half of the year when the comparisons became easier, and that's still our expectation.
Joanna Gajuk - Bank of America Merrill Lynch: And on the labor front, any color in terms of the psych business in terms of how you are progressing in terms of the pressure there? Thank you.
Steve G. Filton - Universal Health Services, Inc.: Yeah, I mean, we first began to talk about the labor pressures and the labor constraints probably in the middle of 2015, actually, initially, I think, as a shortage of psychiatrists, and then later more as a shortage of nurses; and we really began to talk about it because we began to see our admissions more muted. As I said in response to, again, I think A.J.'s initial question, those behavioral admissions have been growing for the last four quarters, I believe; and in my mind, that's reflective of the progress that we're making on that labor front. So, as we fill more of those positions, our admissions go up. To be fair, we have not completely solved or resolved that problem and we still have pockets of either nurse or physician shortages, but clearly in my mind, the 3.7% admission growth that we posted in Q2 reflects the fact that we've made a significant amount of progress on that issue and expect to continue to make progress as the year goes on.
Joanna Gajuk - Bank of America Merrill Lynch: Great. Thank you so much.
Operator: Your next question comes from the line of Sarah James with Piper Jaffray.
Unknown Speaker: Hi. This is Austin (20:53) on for Sarah. So, we're looking a little closer into the behavioral health business and, I guess, we're just kind of wondering, how has the competitive dynamics of hiring behavioral health nurses changed over the past year?
Unknown Speaker: Can you speak up a little, please?
Unknown Speaker: Yeah. Sorry about that. How has the competitive dynamics of hiring behavioral health nurses changed over the past year and have competitors become more aggressive with their hiring process to either gather or retain their nurses?
Steve G. Filton - Universal Health Services, Inc.: Sure, Austin. So, I think we've been pretty clear about this. I mean, I think what happened beginning in around the middle of 2015 is that, as the economy continued to recover and, in particular, as unemployment rates went down, and especially in certain markets where the labor market seemed particularly tight and competitive, we saw that our competitor hospitals were hiring away nurses and physicians, and that wage rates were being elevated and became more competitive, et cetera. And I think one thing that became – I don't want to say it was a new phenomena, but it certainly seemed to accelerate and be at an elevated level was we really began to see acute care hospitals hiring away our behavioral nurses; not that we had never seen that before, but I think we were seeing it at a rate and a frequency and a scope that we had never really seen before and quite frankly, continue to see it. Now, we have responded by adjusting our own wage rates and by doing any number of other things to both attract, and I think, in particular, to retain nurses once we have them hired, but certainly we would characterize the market for both nurses and psychiatrists as more competitive today than certainly it was, I'd say, two or three years ago.
Unknown Speaker: All right. Great. Thanks for the color. So, it looks like you guys did make some progress on that front with behavioral health adjusted admissions growing by 3.7% during the quarter, which is better than we anticipated. So, I mean, how do you see the ramp for the remainder of the year and into 2018 for behavioral health adjusted admissions?
Steve G. Filton - Universal Health Services, Inc.: So, again, I think our original guidance for the year presumes that we would exit the year at about 5% revenue growth rate, which we sort of further broke down to the sort of 3% or 4% volume, and 1% to 2% price. As I suggested earlier, I think we're at a rate in Q2, of about 2.75%, if you adjust for the currency change; which is about 75 basis points from a revenue perspective behind where we thought we'd be in. That, I think, accounts largely for the miss in Q2, as well as for the guidance or the guide down in the quarter. But I think our expectation is that we will get to that 5% revenue growth, just maybe a quarter or two later than we expected, and it will either be as a result of, as I said, our being able to impact that length of stay decline where it's clinically appropriate, or from the admission growth, just continuing its upward trajectory, because honestly, that 3.7% admission growth or adjusted admission growth that we saw in Q2, as you suggest, not only is higher than what you expected, but it was higher than what we expected, and quite frankly, it's right at a level that we thought it would take us to the end of the year to get to this. So, we certainly have an expectation that it can continue to grow and that the underlying demand will support that growth. And so, we believe it'll continue to trend up at least for the foreseeable several quarters.
Unknown Speaker: Great. Thank you very much.
Operator: Your next question comes from the line of Ana Gupte with Leerink Partners.
Anagha Gupte - Leerink Partners LLC: Yeah. Hi. Thanks. Good morning. The question – the first question I had was, while your – the provision for that flip-downs look relatively stable, the charity and uninsured discounts, as a percentage of revenue trended up quite meaningfully. Can you give us any color around what's going on there?
Steve G. Filton - Universal Health Services, Inc.: So, Ana, for those who have listened to our calls for a long time, I'm sure I'll give an answer that sounds familiar although maybe frustrating to those who focus on this. We always say that we really, internally, focus entirely on sort of, the cash net revenue per admission or net revenue per day depending on which division we're looking at, as opposed to individual shifts between charity care and uninsured discount and bad debt expense, which we acknowledge, fluctuate from quarter-to-quarter, and which we struggle with explaining. I think on the acute side, as I already discussed in response to, I think, it was Jason's earlier question, revenue per admission was relatively flat in the quarter. I think that had more to do with mix of patients and lower acuity patients than it did with payer mix, although, I did acknowledge, as many of our peers have talked about over the last several quarters, that we continue to see an uptick in uncompensated patients and a downturn in commercial patients, particularly commercial exchange patients. Those phenomena, however, I think have been present for at least the last six maybe even eight quarters.
Anagha Gupte - Leerink Partners LLC: So, there isn't any acceleration in either attrition off of the marketplaces and/or from a macroeconomic perspective and oil-heavy economies that you're seeing more uninsured patients in any accelerated way?
Steve G. Filton - Universal Health Services, Inc.: Not, I think, in an accelerated way; I think we've seen that, again, those trends in place now for a while and quite frankly, I think they continue with each passing quarter. But no, I wouldn't characterize that trend as accelerating.
Anagha Gupte - Leerink Partners LLC: Then on the behavioral side, back to the length of stay, you alluded to Medicaid and then to some degree, private payers; CMS has just come out with a, kind of, an initial suggestion around moving to a different, more value-based oriented behavioral reimbursement, and putting all of that together, do you see this as broader pressure that maybe hard, more challenging to avert even in the back-half of the year in 2018, or is this something that from better negotiations and it's more tactical and it can be brought back to historical?
Steve G. Filton - Universal Health Services, Inc.: Look, I think it's hard to say; I don't know that we have a perfect inside into how this length of stay trend is likely to develop. I think that there is sort of a natural tension between payers who would like to see patients discharged earlier and providers, and particularly the psychiatrists who are making that length of stay or that discharge decision, who feel like patients are sometimes being asked to be discharged by their payers sooner than medically appropriate or medically necessary. We'll continue to do everything that we believe the clinical record suggests as appropriate, to keep patients as long as our psychiatrists deem is appropriate, but, how those trends develop over time, I think, it's hard for us to say. I will make the point that the length of stay for acute psychiatric patients is already, on average, sort of in the high single-digits, so, changes to them – and I'm not a clinician, and I'm not going to get into sort of the clinical aspects of this, but changes to what is already, I think, we believe a relatively low length of stay, for patients who are quite ill in many cases, can be, I think, significant and we're going to continue to work with our payers to make sure that our patients stay for the appropriate length of time and get the appropriate amount of treatment.
Anagha Gupte - Leerink Partners LLC: Got it. Thanks, Steve, for the color.
Operator: Your next question comes from the line of Chris Rigg with Deutsche Bank.
Chris Rigg - Deutsche Bank Securities, Inc.: Hi. Good morning. Actually just wanted to follow-up on the last point, Steve. When we think about the length of stay pressure, I guess I had always assumed it was more on the longer length of stay at a residential treatment side, but what are you saying it's sort of broad based and you're seeing it even on the acute side at this point?
Steve G. Filton - Universal Health Services, Inc.: So, I think, Chris, and this may be what's informing your point of view is that back in the 2013-2014 period, when we also experienced a length of stay decline in the behavioral division, we did at that time, describe it as primarily focused on the residential business, our long-term patients, but I think over the last couple of quarters – and then that length of stay by the way stabilized, I think in 2015-2016. Over the first couple of quarters in 2017, the length of stay pressure that we've been experiencing has really been in the acute side of the business, the acute behavioral side of the business and not on the residential side.
Chris Rigg - Deutsche Bank Securities, Inc.: Okay. I guess how much – you sort of alluded to this, you can get to the 5% target just if you get the admissions growth to a high enough level; but I mean, what is your level of confidence that you guys can sort of affect stabilization and the length of stay versus just the payers backing off a little bit? I think, I guess I'm just trying to figure out how much is in your control versus third parties.
Steve G. Filton - Universal Health Services, Inc.: Look. I think that this is a push and pull sort of dynamic, the payers are always pressuring providers for, in our minds, the lowest possible length of stay and again, the ultimate decision, I think, comes down to a question of clinical appropriateness and certainly on our end, that's being made by a treating psychiatrist. We hope that on the payer end, it's also being made by someone with a clinical background who has the best interest of the patient at heart as well. It's difficult for me to predict. Obviously, we suggested, or I suggested at the end of Q1 that we would hope to be able potentially to impact length of stay in Q2 if it was clinically appropriate and that really didn't happen. So again, the only point that I'll make is, I think we believe we can get to our revenue guidance number; even if we don't get to it by the end of 2017, we can get to it early in 2018 through some combination of a continued increase in admissions and potentially a stabilizing length of stay number.
Chris Rigg - Deutsche Bank Securities, Inc.: Okay and if I could just slip one more in; on the acute care side, could you give us a sense for what type of revenue growth you're expecting for the second half of the year? And I'll leave it there. Thanks a lot.
Steve G. Filton - Universal Health Services, Inc.: Yeah, so again, our original guidance on the acute care side was 5% to 6% revenue growth for the year, and as I said earlier, kind of split pretty evenly between price and volumes. At least, that was our original assumption. The notion always was, that would be a sort of increasing trajectory as the year went on because the first half of the year comparisons from a revenue perspective were quite difficult, and the comparisons in the second half of the year were markedly easier. And again, I think that remains our projections. I think the acute care performance, as in an earlier question, suggests it was very much in line; and our guidance, and our guidance both from a revenue and an EBITDA perspective, remain the same for the back half of the year.
Chris Rigg - Deutsche Bank Securities, Inc.: Great. Thanks a lot.
Operator: Your next question comes from the line of Whit Mayo with Robert Baird.
Whit Mayo - Robert W. Baird & Co., Inc.: Hey. Thanks. Steve, just wanted to ask a quick clarification question. The 2.2% same-store revenue growth in the behavioral business is actually 2.8% after currency, correct?
Steve G. Filton - Universal Health Services, Inc.: Correct.
Whit Mayo - Robert W. Baird & Co., Inc.: Okay. That would be the best same-store growth in a year, and you're expecting almost a point of improvement in each quarter in the second half to get you to kind of a 4% to 5% range, is that correct?
Steve G. Filton - Universal Health Services, Inc.: I think something more in the 70 basis points or 80 basis points a quarter, Whit, you know, is probably...
Whit Mayo - Robert W. Baird & Co., Inc.: But just over 4%?
Steve G. Filton - Universal Health Services, Inc.: Yeah.
Whit Mayo - Robert W. Baird & Co., Inc.: Okay. That would be the best same-store growth in probably two years. And with that type of growth, you do believe that you can grow your margins year-over-year?
Steve G. Filton - Universal Health Services, Inc.: Yeah. I think, Whit, if we get to that 4% growth, we should see – and the model suggests and the historic performance would suggest, we should have some margin expansion at those levels.
Whit Mayo - Robert W. Baird & Co., Inc.: Got it. And maybe just an update on capital deployment, how you're ranking priorities and just maybe update us on your joint venture development opportunities; just wasn't sure if there's any developments worth discussing.
Steve G. Filton - Universal Health Services, Inc.: Yeah; a couple of different questions, I guess. I mean, from a capital deployment issue, I don't know that there are any sort of imminent opportunities to deploy significant amounts of capital through M&A, but we continue to explore those opportunities all the time. We talked at the end of Q1 about ramping up our share repurchase activity in Q2, which I think the numbers suggest we did, in fact, do. And I think as we think about the model for the balance of the year, we think that our share repurchase will probably be at a minimum at those same kinds of levels as we saw in Q2. As far as the joint venture strategy on the behavioral side, those conversations continue to be quite active. I think we've already announced a number of those ventures, including some new hospitals that are being built in partnership with big acute care partners that will open sometime in 2018. I think when we get to the end of the year and we give our 2018 guidance, we'll be more specific about how we expect the joint venture strategy to specifically impact our earnings going forward; but, I will say that the conversations and the continued planning remain quite active on that front.
Whit Mayo - Robert W. Baird & Co., Inc.: Got it. And maybe just one last one; wasn't sure if there's any update with the government and the DOJ as it relates to the investigation, just any developments worth sharing. Thanks.
Steve G. Filton - Universal Health Services, Inc.: No, I think as we said – or I said in Q2, in public forums and conferences, et cetera, that it certainly seems to us that the level of engagement with the government, the frequency and the scope of our conversations and contacts have increased over the last few months. We are cautiously encouraged by that and believe that it suggests that we hope, I guess, that we're in the later innings of this process. I don't think we are far enough along to be able to, with any level of precision yet, predict a finite outcome or even the timing of such an outcome; but again, I think we remain cautiously optimistic that we're a lot closer to resolution on this process that has been ongoing for, now, close to five years, than we were – I don't think we necessarily had that same view even as recently as maybe, let's say, six months or nine months ago.
Whit Mayo - Robert W. Baird & Co., Inc.: Okay. No, very helpful. Thanks.
Operator: Your next question comes from the line of Justin Lake with Wolfe.
Justin Lake - Wolfe Research LLC: Thanks. Good morning. First, let me follow up on Whit's question there on the OIG, Steve. I know this is obviously a sensitive topic; just curious, I mean, the – I guess it has been four years you've been receiving requests intermittently. Now, you're saying that the OIG discussions have increased. Can you tell us, have they kind of laid their cards on the table, so to speak, in terms of what their concerns are? And if so, is there anything there, if they have told you those concerns, that you think could have a material impact on your business or do you feel like you have reasonable counter-arguments for most of their concerns?
Steve G. Filton - Universal Health Services, Inc.: Look, I think we've suggested for some time, Justin, that we believe that the crux of the government's point of view was that patients were either inappropriately admitted or their length of stay was inappropriately longer than it needed to be, or their clinical treatment was inappropriate. We, I think, have said from the outset that we didn't necessarily share the government's point of view at all and have, I think, made a bigger argument to the government where we've been presented with some of their points of view, which I think has been in a fairly limited number of cases that we had a dramatically different point of view. But that's the nature of these investigations and, look, I think, there is some heavy lifting that remains to be done on both sides and, again, I just think that our point of view is, we hope that we're a lot closer to that, to both parties being willing to do that heavy lifting and get to a conclusion than we've been in a while.
Justin Lake - Wolfe Research LLC: Got it. That's helpful and then Steve, the – my impression is that the – from a cadence perspective, the behavioral business, I think, you've been saying publicly in those same conferences that behavioral – this ramp in behavioral revenue looks like it was on track for most of the quarter. It sounds like it must have turned down in June relative to April and May; can you tell us what happened there specifically, and then given it did turn down so late in the quarter, if there's anything you could share with us in terms of how July is looking relative to June, that would be really helpful. Thanks.
Steve G. Filton - Universal Health Services, Inc.: Yeah, I think that we did make comments during the quarter that talked about sort of the strength in May, et cetera, which is sort of the implication being that June was weaker than we expected, and we did make those comments because at that point we were in our quiet period. I wouldn't read too much into it. It looks to me like July has bounced back some. I mean, I think if you step back, and again, I'm just going to return to sort of the cadence that I talked about, and I think Whit was sort of suggesting in his comments, the admission growth in particular has been on an upswing for the last four quarters and that translates to revenue growth being on that same upswing. And I think we believe that both of those trends are going to continue, albeit probably a little bit more slowly than our initial 2017 guidance implied.
Justin Lake - Wolfe Research LLC: Great. Thanks for the color.
Operator: Your next question comes from the line of John Ransom with Raymond James.
John W. Ransom - Raymond James & Associates, Inc.: Hey. Good morning. I just wanted to ask or drill down on that IMD issue, and I'm sorry if I missed this number, but approximately what percent of your acute short-stay admissions now are coming from IMD? We know they were zero a year ago. I'm just curious, what percent of the admissions they recommend and, I mean, excuse me, they represent, and also what the length of stay actual comparison is for Medicaid versus the rest of your book?
Steve G. Filton - Universal Health Services, Inc.: So, it's difficult to say, John, in the sense that IMD patients, or patients who are coming in as a result of the IMD don't necessarily carry a Medicaid card that says IMD, et cetera. I think we take the point of view that we have seen our Medicaid utilization increase since the IMD exclusion was lifted, and we make sort of, a default kind of – or we reached a sort of a default kind of conclusion that the increase in Medicaid utilization is a result largely of the IMD exclusion being lifted, but it's difficult, with any precision, to sort of identify the precise number of patients who really are at our hospitals, are eligible to be admitted to our hospitals because of the IMD exclusion, and I apologize...
John W. Ransom - Raymond James & Associates, Inc.: No. Maybe a different way of asking it would be, what's Medicaid mix then in short-stay business? What was is it a year ago? What is it now? How much did it go up?
Steve G. Filton - Universal Health Services, Inc.: Yeah. So, I don't have those statistics right in front of me. I will tell you that I think our overall Medicaid utilization, which obviously includes traditional as well as managed Medicaid, is in mid-40s, et cetera, for our consolidated behavioral business.
John W. Ransom - Raymond James & Associates, Inc.: And what was it a year ago?
Steve G. Filton - Universal Health Services, Inc.: I don't have that data, John.
John W. Ransom - Raymond James & Associates, Inc.: Okay. And on the other part of the question, do you have at least just a directional sense – I mean, is it 7-day length of stay versus 10? I mean, is it something like a couple of days shorter, or do you have just a directional sense of what the difference is in length of stay?
Steve G. Filton - Universal Health Services, Inc.: Do you mean Medicaid compared to our other payers?
John W. Ransom - Raymond James & Associates, Inc.: Yeah. Yeah. Correct.
Steve G. Filton - Universal Health Services, Inc.: Yeah. So, I think the Medicaid length of stay on average in the acute side of the business is probably in that six-day to seven-day range, probably Medicare is in the seven-day to eight-day range, and I think commercial was probably in the low teens, kind of 12-13 days.
John W. Ransom - Raymond James & Associates, Inc.: Okay. That's helpful. And just on another point; you guys continue to carry around a great balance sheet; your cousins yesterday at National (43:18) have stepped up their end-market purchases of acute care hospitals. Are you seeing – I know you guys are very patient and strategic, but are you seeing more opportunities there? Do you agree with that strategy? And also, on the kind of flipping over to the behavioral side, you know, are you seeing any addiction type assets that are interesting as well? Thanks.
Steve G. Filton - Universal Health Services, Inc.: Yeah. Look John, we've always been interested in the in-market hospital acquisition opportunity. The challenge for that is, we're in a relatively limited number of markets and that means that there are a relatively limited number of hospitals that might be available to us.
John W. Ransom - Raymond James & Associates, Inc.: Right.
Steve G. Filton - Universal Health Services, Inc.: In the past year, as an example, however, we bought Desert View Hospital in the Greater Las Vegas market, that's in, to be fair, a smaller rural hospital, but one that we think rounded out our presence in that market. We obviously also built the Henderson Facility that Alan has mentioned on several of the calls and it has been doing quite well.
John W. Ransom - Raymond James & Associates, Inc.: Yeah.
Steve G. Filton - Universal Health Services, Inc.: So, we continue to look for those opportunities in all of our existing markets whether they're inorganic M&A or organic capital capacity expansion. On the behavioral side, yeah, I mean, there are – I think the addiction corner of the behavioral market seems to be the sort of, hot, sort of market. We entered that kind of new style addiction business a couple of years ago when we bought Foundations. Part of our thought process when we bought Foundations was that it would provide a platform for us to continue to expand that business and we wouldn't necessarily have to do it through M&A which, we view as relatively expensive. I think most of the addiction assets that have been for sale over the last couple of years seems to be pretty expensive. So, we're growing the addiction business where we think it's appropriate, mostly, I think through organic means.
John W. Ransom - Raymond James & Associates, Inc.: Okay. Thank you. That's very helpful.
Operator: Your next question comes from the line of Ralph Giacobbe with Citi.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Thanks. Good morning. I hopped on a little bit late, so, Steve, not sure if you gave the payer mix that's in the quarter. If you haven't, it would be helpful to know sort of what it was on a year-over-year basis as well.
Steve G. Filton - Universal Health Services, Inc.: Yeah. Ralph, I mean, I think we've talked about sort of the payer mix trends in the two divisions; on the acute side, continuing – which are all continuing a decline in commercial utilization, an increase in uncompensated, on the psych side, an increase in Medicaid, but I've really not gone into more specifics on that.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. Fair enough. And as you look to 2018, can you maybe just talk about the pricing backdrop, your expectation for your sort of, pure managed care rates, Medicaid rates, Medicare rates? And then some of the acuity mix pressure that you've seen over the last couple of quarters, do you think that's kind of a comping-in thing as you don't see those pressures in the next year, you think there's more pressures as you think about sort of the acuity side of the equation from a pricing perspective next year?
Steve G. Filton - Universal Health Services, Inc.: I mean, I think that the pricing assumption that we made for our 2017 guidance, which is blended pricing on the behavioral side of 1% to 2% and blended pricing on the acute side of maybe 2.5% to 3%, is probably what – I mean, again, I'm not about to start to give 2018 guidance at this point, but as I sit here in mid-2017, it strikes me that that outlook at the moment, and things certainly can change between now and the end of the year, but that outlook seems reasonable for next year as well.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. But could you just put that into context? The last couple of quarters obviously is – particularly on the acute care side, you had negative and sort of flat pricing all-in. So, is there a way to sort of context as we think about next year? From pure rate perspective, it sounds like maybe 2%-2.5%, but do you think there's going to be sort of pressures on either acuity and/or payer mix that's sustained?
Steve G. Filton - Universal Health Services, Inc.: Yeah, so in response to a previous question, I think it was Joanna from Bank of America, what I said was, I think we were comfortable on the acute side with the assumption of a 5% or 6% same-store revenue growth rate in the acute business; and while we expect over time that that will be split pretty evenly between price and volume, it is conceivable that in the short run, like you saw in the second quarter, it may be skewed more towards admissions if we're getting those lower acuity admissions, et cetera. But at the end of the day, we were comfortable with the overall revenue growth of 5% to 6%.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. Helpful. Thank you.
Operator: There are no further questions at this time. Do you have any closing remarks?
Steve G. Filton - Universal Health Services, Inc.: We do not; other than to thank everybody for their time, and we look forward to speaking with everybody next quarter.
Operator: This concludes today's conference call. You may now disconnect.